Operator: Welcome to the First Quarter 2017 Independence Realty Trust, Inc. Earnings Conference Call. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to turn the call over to Andres Viroslav. You may begin.
Andres Viroslav: Thank you, Michelle. Good morning to everyone. Thank you for joining us today to review Independence Realty Trust first quarter 2017 Financial Results. On the call with me today are Scott Schaeffer, our chief Executive Officer; Jim Sieber IRT's Chief Financial Officer and Farrell Ender, President of Independence Realty Trust. This morning's call is being webcast on our website at www.irtliving.com. There will be a replay of the call available via webcast on our Investor Relations website and telephonically beginning at approximately 12:00 PM Eastern Time today, that the dial-in for the replay is 855-859-2056 with a confirmation code of 6292257. Before I turn the call over to Scott, I would like to remind everyone that there may be forward-looking statements made in this call. These forward-looking statements reflect IRT's current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT has projected. Such statements are made in good faith pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT's press release, supplemental information and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may get discuss non-GAAP financial measures in this call. A copy of IRT's press release and supplemental information containing financial information other statistical information and a reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measure is attached to IRT's most recent current report on the Form 8-K, available at IRT's website www.irtliving.com under Investor Relations. IRT's other SEC filings are also available through this link. IRT does not undertake to update forward-looking statements in this call or with respect to matters described herein except as may be required by law. Now I would like to turn the call over to IRT's Chief Executive Officer, Scott Schaeffer. Scott?
Scott Schaeffer: Thanks, Andres. And thanks you all for joining our call today. I'm pleased to report on IRT's progress for Q1, our first full quarter as an internally-managed equity REIT. Our strong operating capabilities, capital recycling initiatives and ongoing efforts to strengthen our balance sheet are all evidenced through our results this quarter, while putting IRT in a favorable position as we move forward. Core FFO for the quarter came in at $0.18, while same-store operating NOI grew 5.2%. The results highlight the potential within our 47 property portfolio and the viability of our strategy to own and efficiently manage apartment communities located primarily in non-gateway markets. These markets continue to share attractive fundamentals including healthy job and population growth with limited editions of new apartment supply, resulting in a robust tenant demand. We also benefit from the continuing challenges faced by home builders, including labor and land shortages as well as increasing material costs. We have made progress against our stated strategy of recycling capital out of our 4 non-core properties that are currently held for sale and reinvesting into high-quality communities that fit our long term investment criteria. During the quarter, we acquired a 216-unit community in Tampa, Florida located in an attractive submarket with strong demographics and growth potential. We also have a second property in Lexington, Kentucky under agreement. Farrel will discuss both of these transactions in additional details shortly. The previously announced sales of our 4 Class C communities are expected to be completed before the end of the second quarter. Simultaneously, we've begun value-added improvements at a number of our properties and expect to expand this type of investment into additional properties during 2018 as we review the entire portfolio for unit upgrade opportunities. Turning to the balance sheet. We have closed the refinancing of our secured line of credit with a new 4-year unsecured credit facility. This new facility will eliminate the 2018 debt maturity on the existing line, while lowering the interest cost. This line will provide greater flexibility, support future growth and result in a higher proportion of unencumbered properties which will help position the company towards our goal of pursuing an investment grade rating. At this point, I'd like to turn the call over to Farrell to discuss IRT's portfolio and capital recycling plans. Then followed by Jim to go through the financial results. Farrell?
Farrell Ender: We continue to see sound fundamentals across our core markets and the ability to increase rents across the portfolio. Overall, during the first quarter, we saw revenue growth in 18 of our 20 markets. In 2 of our markets, Chicago and Oklahoma City, we were flat or down 1% respectively as compared to last year. For the 6 months -- for the past 6 months we've committed additional resources to our Oklahoma City portfolio, both capital and personnel and current occupancy for the portfolio stands at 93.3%. Oklahoma City's economy is slowly improving with limited new construction entering the market. New deliveries in 2017 and 2018 are estimated to be 1500 and 694 units, respectively. The market is expected to see positive absorption in both those year pushing overall vacancy down to 6.1%. In addition, employment growth which was flat in 2016, is projected to be 1.1% in 2017. The markets where we have the most exposure to continue to perform well. Remember, our objective is to acquire assets in submarkets that have limited exposure in new construction and are located within a close distance to employments centers, retail and quality schools. Louisville had year-over-year revenue growth of 4.4% and NOI growth of 8.1%. In Memphis, we experienced revenue growth of 7.9% and NOI growth of 12.3% compared to Q1 of last year. Raleigh saw revenue growth of 7.2% and NOI growth of 9.3%. Finally, Atlanta had revenue growth of 7.2% as well and NOI growth of 6.4%. As Scott mentioned, during the quarter, we purchased a community in Tampa, Florida for $29.8 million which equated to a 6.3% economic cap rate on Year 1 NOI. The acquisition was funded through a combination of available cash and our line of credit. The property contains 216 units and is located in the Greater Northdale neighborhood, a submarket that is high-quality retail, an A rated schools system and access to Tampa's major highways and a medium income of $66,000 within the 3-mile radius. The community is located adjacent to one of the largest YMCA's in the city and walking distance to a newly-constructed Whole Foods. Limited new construction in the submarket has allowed the vacancy to remain currently at 4.1%. The submarket has seen only 646 units delivered since 2012, with additional 177 units scheduled for this year and none known thereafter. The characteristics of the Tampa market are attractive for many reasons. New multifamily construction is limited with additions at or below 3% of existing inventory over the past 5 years. The Tampa/St. Pete MSA now claims 3 million people, represents about 20% of Florida's net migration and has seen population grow by almost 2% annually for the past 5 years. It is the state's largest port, Home to MacDill Air Force Base with 15,000 employees as well as 45,000 students at the University of South Florida. Tampa also has a significant financial service industry with Raymond James, JP Morgan and Citi Group employing 9,000 people as well as a large healthcare industry led by BayCare Health Systems. In addition to the acquisition in Tampa, we have a 160-unit property in Lexington, Kentucky under contract for $14.2 million, a 7% economic cap rate on our year 1 pro forma. We will close on this acquisition by the end of this month. The community is situated in 1.5 hour east of Louisville, 20 miles east of Frankfurt, the state capital. Lexington's main economic drivers are the University of Kentucky and Toyota which operates its largest manufacturing facility in North America with annual capacity of 500,000 cars. Toyota reaffirmed its commitment to the city with an announcement this past April to invest $1.3 billion to modernize and update the facility. It's a market that is generally smaller than what we would consider, but believe the acquisition represents significant opportunity. Scott County, where the property is located, is the fastest-growing county in the state over the past 5 years at 11% and is projected to grow by an additional 14% over the next 5 years. In addition, since 2009 we've been acting and as a third-party manager of the community for Tick Syndicate ownership. The group is focused on keeping the property fully occupied and has lacked capital to invest and upgrade the community. The property is currently 98% occupied and we believe it will benefit immediately by being integrated into our revenue management system and by implementing a light value-add program. The renovation will consist of operating flooring from carpet to vinyl wood plank and updating door hardware and light fixtures. The cost of these upgrades are $2000 per unit and will generate an additional $100 per month in rent premiums. As Scott mentioned, we have 4 properties in various stages of the sale process. Our community in Austin will be sold on May 5, followed by the community in Newport News by the end of this month. We anticipate the 2 remaining properties in Jackson, Mississippi and Indianapolis to close by the end of June. The combined sales price of $86 million represents a 6.25% cap rate on our 2017 budget and will net $45 million after repayment of property-level debt. Half of these proceeds will be allocated to the aforementioned acquisitions with the balance being used to purchase an additional property from our pipeline. Lastly, we continue to evaluate opportunities within our own portfolio. In the first quarter, we upgraded an additional 34 units at the Pointe at Canyon Ridge, our community in Atlanta which we've previously discussed. The upgrade cost of average $6,000 per unit and are generating an average monthly rent premium per unit of $140, a 28% return on equity. In addition, we've implemented a similar light value-add program at 8 of our communities. These upgrades are similar to what I mentioned we would be doing at is soon-to-be-acquired community in Lexington. Generally we're replacing -- I'm sorry, we're replacing with new wood vinyl plank and updating lighting and door hardware. In some cases, we're also including a new appliance package. The cost of these upgrades range between $2,000 and $3,500 per unit and generate monthly rent premium between $75 and $125. Finally, later this year, we will begin renovations at our Jamestown property in Louisville. We believe this community is ideally suited for an upgrade program given its infill location at the intersection of Interstate I 64 and Interstate 264 which is Louisville's inner beltway. And its proximity to both significant job centers and major retail. The community is located directly across the street from both Norton and Baptist hospitals, the largest medical concentration in the city and 1.5 mile from Mall St. Matthew's and the largest retail corridor in Louisville. The renovation will involve replacing all windows and doors in addition to upgrading kitchens bathrooms and flooring. Cost to renovate will average $10,000 per unit with the ability to increase rent $200 per month for a 24% return on equity. I'll now hand it over to Jim to discuss the financial review.
James Sebra: Thanks, Farrell. Before we get into the financial results, I wanted to call to your attention as to typo in the earnings release. The same-store rental rate increase was 3.7% in Q1. We've already updated the press release and we apologize for this typo. GAAP earrings this quarter was $0.06 per share or $4.1 million. Core FFO this quarter was $0.18 per share, up $0.01 from $0.17 in Q4 of 2016. Q1 was another solid quarter of operational performance for IRT. Total revenue was $39.1 million, up $38.7 million last year. Same-store revenue was up 4.8% as the same-store properties increased occupancy and rental rates. The same-store properties monthly average rental rate was $1007 for Q1, up 3.7% from Q1 last year. On the expense side, property operating expenses on a same-store basis were up $560,000 or 4.1%. The primary driver of that increased is repairs and maintenance which was up $216,000 in Q1 as compared to prior year. The increase is simply due to timing as the maintenance teams took advantage of the mild winter weather in the first quarter and completed many of their spring maintenance projects ahead of schedule and in advance of the spring leasing season. In previous years, most or some of this would have been incurred in the second quarter. The remaining increases for taxes and insurance were as expected and in line with our previous guidance. With respect to real estate taxes, we've been monitoring the situation closely and continue to be cautiously optimistic. To date, we've received approximately half of our taxes assessments for 2017 and those assessments are slightly better than our expectations. As with most assessments, we appeal most real estate tax increases. When looking at G&A, we completed the of IRT during Q4 and we're currently in the 6-month shared services with RAIT. We're set to move into our new office space later this week and we will have a completely separate IT and back-office staff before the end of Q2 2017. While we're excited about our move and completing the shared services period, we're focused on our G&A spend and achieving the savings we previously discussed. As compared to the fourth quarter, the G&A savings which includes our historical asset management fees is approximately $690,000 per quarter or $2.8 million annually. Clearly, these results demonstrate that we're on target to achieve the goal of saving $2.5 million on G&A annually. From a balance sheet perspective, we ended the quarter with 47 properties aggregating $1.4 billion of gross assets. Our indebtedness was $766 million at March 31, up slightly from year-end due to the acquisition of our Tampa asset based in Northdale in February. As previously disclosed we used $22 million on our line of credit to fund the acquisition, while we wait for the 4 asset sales to close later this quarter. IRT's debt is 97% fixed with a well staggered maturity profile and an average interest rate of 3.6%. With regards to our line of credit, we're excited to announce that we closed on a new $300 million unsecured credit line yesterday. The new facility extends our term from 2018 to 2021 and lowers our interest cost by an average of 35 basis points to 40 basis points annually. We're also excited because we received $480 million of commitments for the new facility which clearly demonstrates the support we received in our investment and financial strategy from not only our existing lenders, but also new lenders. In addition to lowering costs, the new facility enhances our flexibility by creating a pool of unencumbered assets which is part for long term goal becoming investment grade. As of March 31, on a pro forma basis, the unencumbered pool represented approximately 29% of our gross assets and after considering our line of credit as unsecured, that pool was approximately 43% levered. As part of our goals, we're focused on increasing the size of our unencumbered pull while making the best long term financing decisions. As Farrell mentioned, we have 4 assets as held for sale aggregating $60 million of net book value and an aggregate sales price of approximately $86 million. We're active in the sales process and expect these sales to close during Q2. We expect to generate net proceed of $45 million after repaying property level debt. Of these proceeds, we will use $22 million to reduce our line of credit borrowings as part of our focus on managing leverage and we will use $23 million to acquire additional multifamily properties as part of our capital recycling strategy. Lastly, regarding our guidance we're reiterating our full year core FFO guidance of $0.72 to $0.76 per share and all the underlying assumptions. Scott, back to you.
Scott Schaeffer: Thank you, Jim. Operator, at this time let's open the call up for questions.
Operator: [Operator Instructions]. Our first question comes from David Corak of RBC Capital Markets.
David Corak: Appreciate the color on the dispositions. Has anything changed in your mind over the past 60 days just in terms of pricing? And then I think on the last call you guys mentioned that the capital recycling would be accretive, maybe just an update there, if you still think that holds true today.
Scott Schaeffer: No, nothing has changed on pricing I think. We had previously disclosed about $85 million of the proceeds from the sale of these pools, I think it is going to be about $86 million when we're complete. And we're selling these, as Farrell indicated, at a 6.25% cap and these are C Class assets which we think that -- has limited upside in their current condition without significant investment. And the assets that we're buying are a higher class B to B+. And again, as Farrell indicated, one recycle is a 6.3% cap and the other was a 7% cap. So clearly, the acquisitions while not only being higher-class properties, we think with a better future, are going to be accretive right from day one.
David Corak: And then you guys mentioned on the last call that only 7 of your markets had negative absorption in '16 which is probably lower than some of your peers concentrated in the higher-supply markets. But just curious, what markets are you assuming are going to have some negative absorption in '17, you mentioned a couple. But have any of those assumption changed, now that we're 1/3 of the way through the year?
James Sebra: No, it will probably play out as the year goes on, I mean the same markets we talked about before which is Charlotte, Dallas, Austin, Raleigh, that will have negative absorption but you'll see slightly increase in vacancy. But remember most of our assets are B Class and aren't competing directly with this new construction. Where we see some impact is on some of the Trade Street portfolio that's of newer vintage. You'll see that in Greenville, you'll see that in Charlotte as I mentioned. On the flipside, if you look at what happened in Charleston, we were impacted a year ago at our property -- the property we acquired through the Trade Street acquisition, with new construction a year ago and now it bounced back and we saw almost 8% revenue growth once that property stabilized and we stopped.
Operator: Our next question comes from Drew Babin of Robert W. Baird.
Andrew Babin: Quick question on the new line of credit. How did the LIBOR spreads on the revolver and term loan stack up the versus your expectations as you set guidance for the year?
Scott Schaeffer: They are much lower than our guidance for the year.
James Sebra: So we had assumed that our existing facility was going to be kind of continue for the entire year when it came to setting guidance.
Andrew Babin: Okay. And secondly, are you able to bifurcate the performance from the Trade Street portfolio in your legacy assets for the quarter?
James Sebra: We're looking at it as a combined portfolio.
Andrew Babin: Okay. In a general sense, do you think the Trade Street portfolio is still providing kind of net tailwinds due to the operational improvements made there and the margin improvements or is the supply?
James Sebra: It's been two years. I think any benefit we saw from the initial acquisition has been incorporated and now its just organic market rent growth and our operational expertise.
Operator: Our next question comes from Craig Kucera of Wunderlich.
Craig Kucera: Getting back to the new credit facility, is there any sort of facility fee or anything of that form baked into the agreement?
Scott Schaeffer: There is certainly standard unused fees and some upfront kind of arrangement fees, but they're generally consistent with the rest of the market terms.
Craig Kucera: Okay, so call it 25 basis points or something like that. And as far as your property management and other income line, can you give us some color on that and how we should think about the growth of that business throughout the year?
Scott Schaeffer: Sure, so as you're aware as part of the internalization, there was some property that came across from RAIT that we continue to third-party manage for them. That will continue so long as they continue to own those properties. We're not looking to grow that business, third-party management and the expenses should continue to be in that kind of $1.5 million kind of run rate on a quarterly basis.
Operator: Our next question comes from Brian Hogan of William Blair.
Brian Hogan: Just going back to the interest expense savings that you expect to -- with the new credit facility and just kind of the give-and-takes, reiterated your guidance of $0.70 to $0.76, the savings there. What's the offset if you didn't increase the guidance there?
Scott Schaeffer: Well I think what we're suggesting is we're still in the middle of our range, so we weren't updating our guidance or increasing our guidance for that and we're still remain cautiously optimistic on the real estate taxes.
James Sebra: Obviously, as we get further through the year, the range on that guidance will narrow as we have better visibility towards what the year as a whole will be. But we just didn't think it prudent at this time to be increasing guidance, because there's an interest savings -- interest cost savings.
Brian Hogan: Sure, the next is just a question on the overall ability to push rents and occupancy rates, I mean how long do you think you can increase rents? I mean same story sale was an impressive 3.7%, kind of how long can that continue?
James Sebra: In the markets we're in, we're seeing very good demand for our units. Occupancy at the end of April is now close to 96% on the portfolio as a whole. And we believe that because there's not a lot of new construction bringing competition into the market and there is population and job growth in these areas, we will be able to continue to push rents higher for the foreseeable future.
Brian Hogan: And last one for me is kind of the operating margin -- net operating margin is 59% -- just shy of 59% in the quarter, do you -- where do you see the trends going there? Is it 60% by the end of the year, 61%?
James Sebra: Yes, it's approaching close to that 60.5% by the fourth quarter timeframe.
Operator: Our next question comes from Daniel Donlan of Ladenburg Thalmann.
John Massocca: This is actually John Massocca on for Dan. I know you guys said that the maintenance and repairs, that 21.2% year-over-year jump was tied to some one time-ish seasonal opportunities to get some work done but if you kind of take out the one-time increases, have you been seeing any kind of inflation there? I mean, we have been hearing that good maintenance techs have become more expensive to retain and there was some kind of inflation push in that line item for a lot of people.
Farrell Ender: Yes, so we're on the same page, they weren't one time so much as it was a timing of seasonality where we had mild winters in Atlanta and Louisville and where some of the spring maintenance was done in the first quarter versus those in the second quarter. Then regards to your second question. Yes, we've seen some pricing pressure on hiring. We've seen it throughout the industry and throughout the construction industry and it's our job to maintain a culture where people want to work and have opportunity to do that. We've been pretty good at our employee retention. I think that's a result of it.
John Massocca: If you kind of, you -- just kind of going forward though you expect maybe that line item to probably increase at, say, at around 4% kind of rate your expenses that have grown at on average? Or is this something that could get out beyond that?
Farrell Ender: The salary cost of the actual workers are in the payroll line item not the actual repairs and maintenance. So you are already seeing some of the increase on the -- what I'll call this the annual kind of increases to keep the people or the employees themselves. The repairs and maintenances are just repairs, there's no people cost in those numbers.
John Massocca: Okay, is there like third-party contractors in that line or...
Farrell Ender: In some cases, yes. But this is your mulching, your power washing, your gutter cleaning, all the stuff that you do coming out of the spring season to prepare the properties.
John Massocca: Okay, that make sense. And then as you kind of look beyond the Lexington, the opportunity to acquire that Lexington property, what does your portfolio look like, have you -- your view on any markets changed over the course of the current year? Does any market looking more attractive now than it was say during the last earnings call?
Farrell Ender: Not since -- not really since the last earning call and we continue to really like the markets we're in. We're looking to expand. We bought in Tampa, we'd like to add there as well. And we have the opportunity to buy one or 2 more properties once we're done recycling capital and it'll be in those type of markets.
Operator: There are no further questions. I'd like to turn the call back over to Scott Schaeffer for any closing remarks.
Scott Schaeffer: Well thank you for joining us today and we look forward to speaking with you again next quarter. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.